Operator: Good morning, ladies and gentlemen. Welcome to the Fulton Financial Corporation Third Quarter Earnings Conference. This call is being recorded. I would now like to turn the call over to Laura Wakeley, Senior Vice President of Corporate Communications. Please go ahead.
Laura Wakeley: Thanks, Dana. Good morning, everyone, and thank you for joining us for Fulton Financial conference call and webcast to discuss our earnings for the third quarter of 2014. Your host for today's conference call is Phil Wenger, Chairman, President and Chief Executive Officer of Fulton Financial, and joining him is Pat Barrett, Senior Executive Vice President and Chief Financial Officer. Our comments today will refer to the financial information included with our earnings announcement, which we released at 4:30 yesterday afternoon. These documents can be found on our website at fult.com by clicking on Investor Relations and then on News. On this call, representatives of Fulton may make forward-looking statements with respect to Fulton's financial condition, results of operations and business. These forward-looking statements are not guarantees of future performance and are subject to risks, uncertainties and other factors, some of which are beyond Fulton's control and difficult to predict and which could cause actual results to differ materially from those expressed or forecasted in the forward-looking statements. Fulton undertakes no obligation, other than required by law, to update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. In our earnings release, we've included our Safe Harbor statement on forward-looking statements, and we refer you to this section, and we incorporate it into today's presentation. For a more complete discussion of certain risks and uncertainties affecting Fulton, please see the sections entitled Risk Factors and Management's Discussion and Analysis of Financial Condition and Results of Operations set forth in Fulton's filings with the SEC. In discussing Fulton's performance, representatives of Fulton may refer to certain non-GAAP financial measures. Please refer to the supplemental information included with Fulton's earnings announcement released yesterday for a reconciliation of those non-GAAP financial measures to the most comparable GAAP measures. Now I'd like to turn the call over to your host, Phil Wenger.
Phil Wenger: Thanks, Laura, and good morning, everyone. Thank you for joining us. I have a few prepared remarks before our CFO Pat Barrett shares the details of our financial performance. When he concludes we will both respond to your questions? For the third quarter, we reported diluted per share earnings of $0.21 equal to what we reported last quarter and the third quarter of last year. Return on average assets was 0.9% and return on average tangible equity was 9.88%. We saw good loan growth across our five-state footprint. Linked quarter we grew end of period loans by $191 million and average loans by $127 million. By year-end we believe our annual loan growth will place us in the lower-end of the 3% to 7% growth range we projected at the beginning of the year. Our loan pipeline is stable as we enter the fourth quarter. On the liability side, average core deposit showed a healthy 4.6% increase linked quarter with time deposits declining slightly. We are pleased with our deposit growth this year. At the end of the third quarter average year-to-date core deposit balances were up 5.4%. Earning asset yields declined by 2 basis points but our deposit funding costs were unchanged contributing to the overall 2 basis point decrease in net interest margin. We believe we are positioned to benefit from a rising rate environment whenever that occurs. We do expect to see modest pressure on our net interest margin over the next several months due to near-term continued pressure on asset yields. Overall asset quality again showed improvement. Non-accrual non-performing loans decreased along with classified and criticized loans as well as total delinquency. Total non-performing assets fell to the lowest level in over five years. The provision for loan losses was unchanged linked quarter. Non-interest income declined modestly due to a decrease in mortgage banking income caused primarily by lower net servicing income. Other expenses remained elevated in the third quarter but were down slightly linked quarter. As we previously disclosed, during the third quarter, the corporation and four of our banking subsidiaries received BSA/AML regulatory enforcement orders. As we have been reporting we're accelerating the build out of our risk management and compliance platforms, including the enhancement of BSA/AML compliance programs through additional staffing and outside consulting services. Total BSA/AML related outside servicing expense was approximately $3 million in the third quarter and $6 million for the first nine months of 2014. We have spent approximately $12 million in outside services related to BSA/AML since the beginning of 2012 and we expect to spend an additional $3 million in the fourth quarter. We expect outside consulting services related to BSA and AML to decrease by approximately $5 million in 2015. As we intended the impact of these investments on our expense run rate has been offset by the cost savings initiatives announced earlier in the year. Those expense reductions included 14 branch office consolidations as well as organizational and employee benefit restructuring. We continue to look for ways to reduce our expenses as we build out these critical areas. We’re actively deploying our capital. As you know, the board authorized a $4 million share buyback in May. During the third quarter, we completed that entire program bringing the number of shares we have repurchased since the second quarter of 2012 to 18.1 million shares at an average cost of $11.40 per share. I would like to take a moment to review our progress and strategic direction. We are aggressively building out our risk management compliance processes while working hard to resolve our BSA/AML deficiencies. We've added new talent to prepare us for the future growth and to provide required management expertise. Our valuable franchise operate in strong markets, our relationship banking strategy differentiates us in the marketplace and creates lasting customer relationships. Earning assets are growing and asset quality is consistently improving. We have controlled expenses where we're able to do so and have the ample capital that we are deploying in the best interest of our shareholders. Thank you for your attention. At this time, I would like to turn the call over to our CFO, Pat Barrett for a discussion of our third quarter financial performance. Pat?
Pat Barrett: Thanks, Phil, and good morning. Unless I note otherwise, quarterly comparisons are with the second quarter of 2014. As Phil noted, earnings per diluted share this quarter $0.21 per share on net income of $39 million, which represents a $1 million or 2.6% decrease compared to the prior period. Earnings per share were equal to both the prior quarter and the third quarter of 2013. The decrease in earnings resulted from lower non-interest income, partially offset by an increase in net interest income, and a decrease in non-interest expense. Net interest income increased $1.5 million or 1.1% due to growth in average loans and an additional day in the quarter, partially offset by a 2 basis point decrease in net interest margin. Average earning assets increased $144 million or 0.9% driven by $127 million increase in average loans. Average yields on interest earning assets decreased 2 basis points with the yield on average loans decreasing 1 basis point to 420. Strong origination volumes and demand for flooding rate loans resulted in lower yields than the previous quarter with total average origination yields dropping to the mid 350s. The average cost of interest bearing liabilities increased 2 basis points due to a change in funding mix from lower cost short-term debt funds purchased to longer-term time deposits and FHLB Advances. This change in funding mix reflects our ongoing efforts to extend maturities and lock in longer-term rates. Average deposits increased $434 million or 3.4% due to increases in demand and savings accounts. The growth in both account types resulted from seasonal increases in municipal account balances as well as solid res and business account balances. Our net interest margin through the third quarter of 3.39% was at the higher end of the range we provided last quarter which was 3.35% to 3.39%. For the fourth quarter we're expecting continued modest compression within the range of 3.33% to 3.37%. The provision for credit losses for the third quarter remained unchanged from the second quarter at $3.5 million reflecting continued improvement in the credit metrics. Total delinquencies decreased by $4.4 million due primarily to a decrease in loans 90 days or more past due. Net charge-offs decreased from $9 million to $6 million for an annualized net charge-off rate of 18 basis points compared to 28 basis points during the second quarter. Our allowance to loans ratio declined 4 basis points to 1.47% as of September 30. Turning to non-interest income, we saw $1.9 million or 4% decrease excluding the impact of securities gains. Mortgage banking income decreased $1.7 million largely driven by the absence of the $1.3 million decrease in amortization of mortgage servicing rights that occurred in the second quarter. Other services charges and fees declined $572,000 or 5% primarily due to a decrease in commercial loans swap fees. Moving to expenses. Total non-interest expenses decreased slightly to $115.8 million for the quarter. Salaries and benefits declined $1.2 million due primarily to an decrease in self-insured health care costs. Other non-interest expense decreased $1.6 million or 13%, including a reduction in the reserve for debit card reward points. Partially offsetting these decreases was $1.4 million or 19% increase in other outside services. The majority of this increase was related to risk management and compliance efforts it was in line within the range of our expectations for the quarter. In addition, ORE expense and operating risk losses which are subject to volatility increased $1.1 million combined in the third quarter. As we stated last quarter expenses will likely remain elevated for the remainder of 2014, particularly outside services and professional fees, due in large part to our continued risk management and compliance efforts. You will recall that our internal projections for the second half of 2014 indicated that expenses would be in the range of $232 million to $238 million. Based on our third quarter actual expenses and our internal projections, we believe our fourth quarter total expenses would be in the range of $116 million to $120 million. As always and in addition to our projections of outside services and professional fees, run rate for certain other expenses such as ORE expense and operating risk losses can experience volatility based on timing or events that cannot always be reasonably predicted. Moving to income taxes. Our effective income tax rate for the third quarter remained steady in the 25% to 26% range where we expect it to be for the remainder of the year. Concluding briefly on capital, our ratios remained very strong with estimated tier 1 and total risk based capital at 12.9% and 14.5% respectively. Active capital management remains a key prior for us. Thanks for your attention and for your continued interest in Fulton Financial Corporation. And now we'll be glad to answer your questions.
Operator: Thank you. (Operator Instructions). And we will take our first question today from Frank Schiraldi with Sandler O'Neill.
Frank Schiraldi - Sandler O'Neill: Just a couple of questions, if I could. Just first, I am just curious obviously we can look in your Q last quarter at least and take a look at your interest rate risk profile and any shock up rate environment where you expect NII to increase to. Just wondering, first I would imagine, given locking your longer-term liabilities this quarter that that may be improves somewhat in 3Q. And then just curious how that calculation is affected, how significantly that calculation is affected if the longer end of the curve is anchored, and we get a flattening of the curve rather than an increase across the board of 100, 200 basis points.
Pat Barrett: Well it's a really long question Frank. So I guess let's say first off that what we've done is sort of incremental and on the margin. So we don't see a significant impact on extension risk or duration from doing this. I think your question on the steepening versus shift of the curve, again given where we're positioned, which is very, I guess fairly modestly positioned with extension risk in -- around the five year range again the impact of either or will probably not be significantly different.
Frank Schiraldi - Sandler O'Neill: Okay. Okay. And then just curious if you can give a little color in terms of on the deposit growth, the core deposit growth in the quarter. You mentioned seasonally higher municipal deposits. Could you characterize may be about how much would you say was seasonally stronger deposits versus just some good growth in commercial?
Pat Barrett: I think that the seasonal impact from the municipalities probably represents about half of the growth.
Frank Schiraldi - Sandler O'Neill: Okay. Perfect. And then just finally, just on the loan growth, noticed the construction balances continue to tick up pretty significantly as a percentage of that total portfolio. And just wondering, given what it looks like the yields are on that construction product that's going on, if you could just give a little more color on what sort of particular lending is going on there that's boosting that construction bucket.
Phil Wenger: So that increase really was spread out, was not really in any particular category but it would spread across a number of different commercial investment properties.
Frank Schiraldi - Sandler O'Neill: Okay. So it would be mostly commercial-oriented construction, not residential?
Phil Wenger: No. Almost all construction -- commercial construction.
Frank Schiraldi - Sandler O'Neill: Okay. And just would you happen to have -- just wondering what the average size of those loans, so may be going -- if you don't have it, if you could may be follow-up with me offline on the increase in the construction, the average size of the loan put on.
Phil Wenger: I do not have that number for you, Frank but we will follow-up offline.
Frank Schiraldi - Sandler O'Neill: Sure, sounds good. Thanks guys.
Operator: And we will take our next question from Chris McGratty with KBW.
Chris McGratty - KBW: Kind of looking at 2015 as we kind of address the incremental costs on BSA/AML, can you talk to may be what else may be being looked at in terms of expenses, whether it be the charters, whether it be branch consolidation, and then may be answer the question in context of how we should be thinking about the overall situation?
Phil Wenger: Well, we are looking at a wide range of cost initiatives again that would include branches, employee benefits, and collapse of the charters. And we see our efficiency ratio as we've been saying in 2015 between 60% and 65%.
Chris McGratty - KBW: Okay. Just switching to the margin, I think, Pat, in your remarks, you said a few more months, if I heard you correctly, of pressure. I guess ultimately, with the new production up 4.20% in the quarter, I'm just wondering where that was last quarter and kind of a sense of where you might think the margin may trough in terms of the timing of the status environment.
Pat Barrett: I was wondering if you're going to get that first or second, that is the question. So just to be clear of what we saw this quarter was a pretty significant drop in the origination yield. Over the past few quarters we have been seeing the gap of new originations to roll offs and payoffs -- pay downs narrowing where I think during the second quarter our gap between the two new versus roll off was down to may be 10 basis points. What we saw this quarter because of a pretty good uptick in production and demand for interest rates to go down again surprisingly. For a floating rate now we actually saw origination yields dropping all the way down to the mid-350s. And I think roll offs didn't move that much, most of our roll offs are pretty well scheduled and fixed. So that is still in a little above four range. And what we actually saw was a gap of widening between the two and until we see that trend, I guess -- until we see the right environment stabilize and see that trend stop and actually reverse and resume narrowing. I'm not sure that it would be very useful for anybody to guess when we will see an inflexion point.
Chris McGratty - KBW: Okay. Is there anything to talk about in terms of the borrowings that you still have? Obviously time has gone on since we've all kind of adapted about the FHLB. But with prepayment penalties presumably may be a little bit narrower and your capital dilution strong is there anything that is being considered in terms of getting rid of those longer-term borrowings?
Pat Barrett: Yes, we look at that fairly steadily this year. And while the prepayment penalties have narrowed and short the maturity is and lower the interest rate environment is the lower that gets, it's still kind of an even trade. So it doesn't really change our economics from the funding cost perspective but we definitely continue to look at that and think in terms of locking in longer-term funding. But at this point nothing beyond that.
Chris McGratty - KBW: All right. And just the last one and I will hop off. Did you say there was an MSR impairment in the quarter, and if so, what was the amount?
Pat Barrett: I do not. So in the second quarter I think we had $5.5 million of servicing income and of that close to $1.5 million was an adjustment to the amortization of our MSRs. We carry our MSRs at lower cost per market we don't fair value them. So rather than us having an MSR gain which a lot of companies did in the first half of the year, on changes in prepayment, slowing the prepayment speed. We actually had a true up of our amortization which resulted in the same thing. It was a benefit in the second quarter. So our third quarter didn't have that. So it was from that perspective anyway was it didn't have the noise of the amortization in the third quarter. Does that make sense?
Chris McGratty - KBW: Yes, I got it. Thanks a lot, Pat.
Operator: And we'll take our next question from Casey Haire with Jefferies.
Casey Haire - Jefferies: So just to clarify on the expense run rate, Pat, so $116 million to $120 million, you mentioned there can always be volatility with OREO and the operating risk loss. I'm just curious, is that what's driving the wide range? I mean are you guys happy with where the regulatory spend is, and I mean do you have a good visibility into what that is this quarter, and that's not what's driving that wide variance?
Pat Barrett: When you say wide range so we're pretty typically give a $4 million range on our guidance each quarter. So I'm guessing that you meant the implied increase of fourth quarter compared with the third quarter question?
Casey Haire - Jefferies: Yes, so I'm basically, I know you guys do give that range, but I'm just curious, is that due -- I mean, is the $4 million variants, is the due just to give you a nice, a cushion in case, you get surprises on the operating risk loss or OREO lines?
Pat Barrett: Or any other line, yes. I call that a margin of estimation error of around 1% either direction. And we get seasonality but we found in the -- certainly in the last year to year and a half that between platform build out, regulatory cost, transformation of the big part of our infrastructure, as well as the volatility of those lined items, which we always call out around ORE and operating risk losses. It's impossible to predict big frauds. It's impossible to always predict put backs. Although, fortunately, we think most of that's behind us. Also, we definitely leave room for volatility in those. And I would say that for items like healthcare costs, we are definitely seeing volatility. You'll recall in the second quarter, we had that top-up a $1 million in those accruals, that eased a little bit in the third quarter, but I think there is as good a chance as not but those are going to continue to decline and I'm sure that we are not the only company that are seeing rising healthcare cost in this environment.
Casey Haire - Jefferies: Right. Okay. Switching to margin, I know you mentioned -- obviously, it's got a little bit top-run on the -- from a pricing standpoint. But the loans yields did hold in very well, just down one basis point. I'm just curious, was there anything and was there any recoveries or any kind of noise that inflated that higher, that massed to what was some decent compression in the quarter?
Pat Barrett: Not significant. I think we came in on the high-end of the range that we got into last quarter at 3.39 versus from a range of 3.35 to 3.39. I would say that our loan yields came in exactly where we thought they would. So there was probably a little bit of upside on either cash flows from securities or other yield adjustments. And I would say that anything that you put on in the current quarter is going to have a muted impact on overall yields, both because its partial quarter but also because on the $13 billion loan book putting on an net increase of under $200 million. Regardless, even if it's a half of the portfolio yield, is only going to move you by a couple of basis points once it builds into the average on a quarterly basis.
Casey Haire - Jefferies: Understood. Okay. And then, just finishing up on capital. What -- you got the buyback taking care of for the back half of this year. Can you just give reminder, what the TT ratio at 9.25, what you guys kind of managing to and just capital management priorities going forward?
Phil Wenger: Well, we still think we can manage that TC number down. I think we will -- between 8.5% and $9% in some area we are comfortable with. And we'll continue to look at opportunities to manage our capital between now and in the end of the year, at the board level. And we'll see what happens.
Operator: And we'll take our next question from David Darst with Guggenheim Securities.
David Darst – Guggenheim Securities: It feels like earlier in the quarter you are more confident that you could have gotten to the midpoint of your loan guidance range and now you're looking for the low-end of range. Has something changed from either a demand or competitive standpoint?
Phil Wenger: David, I think we have been pretty consistent since the second quarter in saying that we would be in the low range of that 3% to 7%.
David Darst – Guggenheim Securities: Okay. So if you look at your expectations to bring the efficiency ratio under 65% obviously, you're going to need a revenue inflection in the next year.
Phil Wenger: Right.
David Darst – Guggenheim Securities: And then, also I guess you got under number three or four things. I mean, so do u feel comfortable you can bring down this expense range (inaudible) $4 million for next year?
Phil Wenger: Yes. We do think increasing our revenue is a big part of lowering our efficiency ratio at this point. I think it will be a big challenge for us to maintain expenses or have a small increase next year, will be a challenge. But we do think we can increase revenue.
David Darst – Guggenheim Securities: So it would be a – meaning you see (inaudible) to bring the absolute dollar expenses down?
Phil Wenger: I would say yes.
David Darst – Guggenheim Securities: Okay. Got it. Thank you.
Phil Wenger: And I guess I'd add to that, just that you guys may be figure out the wildcard of what interest rates are going to do and what's going to happen with our margin, so. But still has a pretty meaningful impact given the structure of our balance sheet.
Operator: And we'll take our next question from Matthew Kelley with Sterne Agee.
Matthew Kelley - Sterne Agee: Hi guys. On the deposit growth, outside of the municipal growth during the quarter and the seasonal changes there, has there been any kind of promotional deposit rates? And where are you seeing the biggest inflows again outside of the municipal stuff on a seasonal basis?
Phil Wenger: Well, we are always promoting core deposits and we continue to do that. We saw a growth on the business on a corporate side in core deposits, which was helpful. We have had promotional rates on longer-term time deposits. But overall, that really hasn't increased our growth rate there; it’s just kind of shifted the mix from a shorter-term time deposit to a longer-term.
Matthew Kelley - Sterne Agee: Okay.
Pat Barrett: I'd add on to that.
Phil Wenger: The bigger impact to the promotions was probably in the second quarter. There was probably a little bit of lingering impact. You actually saw us ending CD balances graph slightly, that's where you would have seen the net (inaudible).
Matthew Kelley - Sterne Agee: So if rates don't change, what would you anticipate happens to your average cost of deposits, which are interest earning deposits I think around 37 basis points? Where does that migrate, if we don't see a big change in the overall short end of the curve?
Pat Barrett: Probably, flat with a very modest bias towards the upside.
Matthew Kelley - Sterne Agee: Okay.
Pat Barrett: Because the longer it goes, the closer we are to higher rates whenever that occurs.
Matthew Kelley - Sterne Agee: Okay. And then, as you have closed branch in the last couple of years, can you talk a little bit about what you have been modeling for deposit and customer runoff versus what actually occurred to give us a sense of how that process is going that you've been able to shrink branch, the branch footprint versus the actual retention of the customer deposits?
Pat Barrett: So we thought that we would be able to retain most of the deposits; I think we thought we could retain between 85% and 90%. Our actual retention rate has been 95%. And we compare that to a control group of branches that weren't impacted from the consolidation, and our retentions rates there was 95% also. So we have been extremely pleased with our ability to retain, to consolidate and retain.
Matthew Kelley - Sterne Agee: Okay, got it. And then, just a question on your new production yield you had mentioned that that GAAP versus the origination versus payoffs, had widened quite a bit in the third quarter? I think you said the new money yields were around 3.50. Did you see more compression on commercial real estate or C&I, little detail on where that compression occurred on a sequential basis between Q2 and Q3?
Phil Wenger: So we did at C&I a growth in the quarter and those -- that tended to be floating rate. And they are obviously at lower rates and that really was the driver of moving that number down.
Matthew Kelley - Sterne Agee: Okay. At that time, we were --
Phil Wenger: Sorry, go ahead.
Matthew Kelley - Sterne Agee: No, go ahead.
Phil Wenger: I was just going to say we were in the mid 3.50s on new money. That was all I was just going to clarify.
Matthew Kelley - Sterne Agee: And was there any change in utilization rates on lines of credit in C&I book or is it growth in just new relationships there?
Phil Wenger: It was growth. I'll tell you what happened. Our -- well, first off, the utilization rate actually went down slightly. I think we went from 37.9% to 37.6%, just a slight decrease. But really what we've seen is our new production mix had been running 50% new customers and 50% existing customers. And in the quarter -- I mean I think this is actually really good news, our new production from new customers paid about the same level. But the mix that percent was -- went from 50%-50% to 35%-65%. So our existing customers finally are coming to us with new projects and capital requirements, which to me is just a really good sign.
Matthew Kelley - Sterne Agee: Okay. So an acceleration of C&I growth should lead from that I assume in the coming quarters?
Phil Wenger: I think it's possible, but first that has to be sustained over time. A real -- the first step was for existing customers to start with some expansion projects, which we're seeing. Now the next step will be to have that utilization rate go up and that could really help us, if those are -- those things happened that would really be a beneficial in on new loan production.
Operator: And we'll take our next question from Blair Brantley with BB&T Capital Markets.
Blair Brantley - BB&T Capital Markets: Question on the loan growth. Can you give us a breakdown from a geographic perspective, where you saw some strength and where you think there is more opportunity going forward?
Phil Wenger: Sure, Blair. That was also really positive news for us. We saw a pretty good growth in all our states. From a dollar amount, Pennsylvania grew the most, but from a percent linked quarter Pennsylvania grew 0.7%, which was our -- actually the lowest of all the states. New Jersey grew 1.2%, Maryland 0.9%, Virginia 1.4%, Delaware 2.7%. So it was really spread across the entire region, which is also really good news for us.
Blair Brantley - BB&T Capital Markets: Okay. And in terms of pipelines you mentioned they are stable. Did that spread across the five states pretty evenly fair or is it more Pennsylvania focused?
Phil Wenger: Well, it's more Pennsylvania driven just because that's much larger percent of our portfolio, but it is spread across all our states, yes.
Blair Brantley - BB&T Capital Markets: Okay. And then, just one more follow-up on the investment portfolio. What are you seeing their trend lines, where the rates are right now? Are you -- is that going to shrink some more or what is your plan there?
Phil Wenger: Unless you got some great ideas of some very high quality investments that yield higher than about 2.35 then I think that we're probably going to continue to see -- or to have some challenges reinvesting all the cash flows each quarter. So I think we were at 2.36 this quarter. We are not changing our investment or credit risk profile. We really want to keep our credit risk in our loan book. So I would say it wouldn't surprise me to see a continued 1% and 2% decline in that just from a natural runoff, notwithstanding a change in the investment environment.
Operator: And we'll take our next question from Matthew Keating with Barclays.
Matthew Keating - Barclays: Thanks. Most of my questions have been addressed, but I did have a question about the mortgage banking application volumes going to new balance senior and tenure. Have you seen any shift and you can just drive your typical detail on that front, as well as maybe (inaudible) refinance mix?
Phil Wenger:
Matthew Keating - Barclays: Okay. That's helpful. And I guess that's actually all I have. Most of my questions have been addressed at this point. Thanks.
Phil Wenger: Thank you.
Operator: And we do have a follow-up question from Frank Schiraldi with Sandler O'Neill.
Frank Schiraldi - Sandler O'Neill: Hey guys, just two follow-ups if I could. Just on provisioning you’ve given some limited guidance on back half of the year expectations for loan loss provision. I'm just wondering if you had any thoughts on directionally what you’re seeing, what you’re thinking right now for provisioning in 4Q and then how you think about 2015. Is there still some significant credit leverage here or do you, or would you say that for 2015 provisioning perhaps have to pick up and at least meat charge offs?
Phil Wenger: So Frank, I think we've been consistent in giving some guidance the range on the provision between 0 and $5 million and I would see that continuing into the fourth quarter. So where we end up would still be depend on growth would be a big factor at this point and would make this assumption that we don’t get any kind of surprises. When you look into ‘15 it’s hard to see that we can reduce the provision a whole lot more. However, I do think our -- we’re still at 147 provisioned internal loans and I do see that number coming down further.
Frank Schiraldi - Sandler O'Neill: Okay. And then just on expenses one more time, I know, Phil, I don’t think you’re giving specific guidance but you made a comment about next year I think that it would be challenging to expect if I heard right the total dollar amount of expenses in 2015 to be held flat or be reduced from 2014. Just want to make sure I heard that right, because I know you’re expecting about $5 million less than outside services expense in 2015?
Phil Wenger: Yes, I think it’s going to be a challenge for us to decrease the total level of expenses. We are going to have some areas where we think we can benefit and outside services would be one. But we’re – we’re also adding people, have been adding people in risk management and compliance and we’ll have a full year’s run rate in – for a lot of those add so. That's the, that's really what – that the challenge that we have right now. I guess I would say probably different challenges but similar places we were as we ended last year which is why we’re working hard to find ways to become more efficient in other areas. So we’re working hard on that. So that's our challenge will be to keep expenses from growing in an environment where we are still investing and having to invest to kind of finish up a lot of the great work that's been started over the last couple of years.
Operator: (Operator Instructions). And we have a follow up from Chris McGratty with KBW.
Chris McGratty - KBW: Pat or Phil, on the buy back, is there any reason to the fact that you finished the buyback in the quarter and we didn’t get a new authorization or just really just a technicality when the board meets --
Phil Wenger: I think it’s – I would call it more of a technicality.
Chris McGratty - KBW: Okay, so then you’re not ruling out a buyback for the rest of the year is what you’re saying, okay.
Phil Wenger: Well I'm not -- I would not rule out a buyback moving forward in some point I guess.
Chris McGratty - KBW: Understood. On capital I think you had about 100 or so some that matures in to the first quarter and you’ve also got some trust preferreds. Is there anything to think about from either of your levers kind of in the next year?
Phil Wenger: Well the trust preferreds we kind of like this but from a tax deductibility from a capital standpoint it’s another 22 year at mid sixes. So I wouldn’t say -- I mean even under Basel III it’s still tier two capital treatment. The sub debt that matures in April we’re looking sort of balance the need for growth in capital deployment opportunities against the cost to carry so that we can get cheaper. It’s just a question of do we have the need and ability for the funding and the incremental capital that would add because if we reissue that would be fully tier two capital versus zero which is what it gets right now its fully amortized from a capital perspective.
Operator: And we’ll go next to Jason O'Donnell with Merion Capital.
Jason O'Donnell - Merion Capital: I just wanted to follow-up on the just gesture around just very sensitivity. I know that you had mentioned that you all expect to receive a benefit in a rising rate environment. I'm just wondering does that apply to the first kind of 50 to 75 basis points increase and how do you think about the way that net interest income plays in the first 50 or 75 basis point left?
Phil Wenger: Yes, I’d say probably half of the impact that you’d see in the second half of the first 100 basis point rise and you’re referring to the loans the floors we’ve got which is about 25% of our loan book has floors and is (inaudible) and I think that the spread between the average yield on those and rates remained very steady this quarter at 55% -- 55 basis points. So we would get a – I guess a moderated impact of a full percentage point of rate rise but we still would get an impact. So that first 100 basis points we would probably get a 3% we’re going to have 3% to 3.5% improvement in that interest income call it $20 million. The next 100 basis points we get would be closer to 7% call it 40 high 30s just based on today’s rate and that's – at easing 100 basis point shocks. So that's the reflect how do you impact the floors
Operator: And we have a question from David Bishop with Drexel Hamilton.
David Bishop - Drexel Hamilton: Hey apologize if this was asked earlier, just popped on, but the growth in the construction land development there is sort of at all to look at across the landscape in terms of the overall loan portfolio mix. Is there sort of a target of level of loans you want to sort of allocate that bucket, and how you’re thinking about in terms of future loan growth in that category?
Phil Wenger: Its, David we peaked. When we peaked in that construction land portfolio we were about 12 -- it represented about 12% of the portfolio and over time it was down to about 5% of the portfolio, and we think somewhere in the middle there would probably be where we would feel comfortable taking it to.
Operator: And gentlemen, we have no further questions at this time. I’ll turn the call back to you for any additional and closing remarks.
Phil Wenger: So thank you all for joining us today. We hope you’d be able to be with us when we discuss fourth quarter and year end 2014 results in January.
Operator: Thank you. And that does conclude today’s conference. Thank you for your participation.